Operator: Welcome to the Third Quarter 2015 Earnings Call. My name is Tilda, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now like to turn the call over to Ms. Elise Caffrey. Ms. Caffrey, you may begin.
Elise Caffrey: Thank you and good morning. Before I introduce the iRobot management team, I'd like to note that statements made on today's call that are not based on historical information are forward-looking statements made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information on these risks and uncertainties can be found in our public filings with the Securities and Exchange Commission. iRobot undertakes no obligation to update or revise these forward-looking statements, whether as a result of new information or circumstances. During this conference call, we will also disclose non-GAAP financial measures as defined by SEC Regulation G, including adjusted EBITDA, which we define as earnings before interest, taxes, depreciation, amortization, merger and acquisition expenses, restructuring expenses, net intellectual property litigation expense and non-cash stock compensation expense. A reconciliation of GAAP and non-GAAP metrics can be found in the financial tables at the end of the third quarter 2015 earnings press release issued last evening, which is available on our web site. On today's call, iRobot Chairman and CEO, Colin Angle, will provide a review of the company's operations and achievements for the third quarter 2015 as well as our outlook on the business for the remainder of 2015. Alison Dean, Chief Financial Officer, will review our financial results for the third quarter of 2015; and, Colin and Alison will also provide our financial expectations for the fourth quarter ending January 2, 2016 and fiscal 2015. Then we'll open the call for questions. At this point, I'll turn the call over to Colin Angle.
Colin Angle: Good morning and thank you for joining us. Last evening we reported revenue in line with and earnings exceeding our expectations for the third quarter. During Q3, we successfully launched our first connected Roomba, the 980, on our web site and have subsequently begun shipping it into U.S. retail and overseas markets. We received and fulfilled multiple defense and security orders and announced two significant new IDIQ contracts, and we sold six Ava 500 robots and 13 RP-VITA robots. Q3 revenue met our expectations, due to continued strong growth in the United States and China, partially offset by softness in Japan. Third quarter earnings exceeded expectations, primarily because we decided to curtail the planned incremental Japan marketing investment, as the overall economic climate in the region was dampening its impact. Although we expected continued strong growth in U.S. and China, we are revising our full year revenue expectations to $610 million to $615 million, due to a slower than expected recovery in Japan and our continued caution in a few other international markets. We are increasing our full year expectations for EPS and adjusted EBITDA, and we have reduced our spending plans for Q4, in order to offset the lower revenue. We will also be recording a gain on investment of $0.06 per share or $3 million in pre-tax income from the sale of an investment we made several years ago, that was not previously contemplated in our expectations. We now expect full year earnings per share of $1.35 to $1.40 and adjusted EBITDA of $89 million to $91 million. These expectations continue to reflect our confidence, that domestic home robot revenue will grow in the high teens for the full year, China, more than 70% and in most European markets will also show significant growth. While we are experiencing weakness in a few isolated international markets, we expect the macro impact to be temporary. Global spending in robot vacuum cleaners continue to grow, and we are maintaining our leadership position in the market, despite several recent entrants in the category. We remain optimistic about the industry, and our growth prospects in the coming years. Isolated challenges in Russia and Japan are the 2015 weak spots, in an otherwise very healthy and growing global business. Now I will take you through some other highlights of the third quarter and our outlook for the rest of 2015. On September 16th, we launched the Roomba 980, our first connected home robot with navigating and mapping capabilities. The reaction we have received has been tremendous, exceeding our expectations. The Roomba 980 is the first iRobot product to incorporate the VLSAM technology we acquired as part of the acquisition of Evolution Robotics. The flagship Roomba is our first step into the Internet of Things, enabling new functionality today, such as remote app-control and systematic navigation, as well as paving the way for new products and new capabilities in the future. We are also collecting insightful usage data from the product, which can inform [ph] future investment. We look forward to discussing our strategy to take advantage of these advances in other forms in coming months. The 980 was available exclusively on our web site in mid-September, and it is now in select retail locations in the U.S. and in Japan, and in early November, they will be on the shelves in several European markets. Our distribution plan for this product is consistent with our new product launch strategy, and we will roll it out globally over the next 12 months. Strong third quarter sales in the U.S., fueled in part by the introduction of the Roomba 980 are expected to continue throughout the fourth quarter. Domestic revenue growth of 23% in Q3 year-over-year demonstrates that we know how to profitably drive revenue through sales and marketing investment in the United States markets. Full year 2015 domestic growth is expected to be in the high teens over last year. EMEA revenue was flat year-over-year in Q3 and based on our current outlook, is expected to grow in the low single digits for the full year. We are continuing to see growth in most of the Western European markets, where we have been established for the past six years. The worsening situation in Russia over the past year, has driven a precipitous revenue decline in a previously fast growing market for Roomba. Revenue in APAC was down 20% in the third quarter due to lower year-over-year sales in Japan, but is expected to grow substantially in the fourth quarter, driven by China, and to a lesser extent, Japan. In China, there are two major cyber holidays in Q4, plus distributor and retail purchasing in advance of Chinese New Year in early February, which we expect to drive the fourth quarter growth of more than 100% over 2014. While the outlook for China continues to be very strong, APAC is only expected to grow in the low single digits for the full year, due to the dampening effect of Japan's contraction. Turning now to our defense and security business, third quarter results slightly exceeded our expectations due to early delivery of orders we expected to fill in Q4. 75% of D&S Q3 revenue was recognized for orders received and fulfilled within the quarter. In addition, we finished the third quarter with $28 million in backlog, and since then it has increased to $36 million. These orders are for SUGV, PackBot and FirstLook systems and upgrades, as well as spares across all product liens. The majority of these orders are scheduled for Q4 delivery, giving us improved visibility into the fourth quarter. During the quarter, we announced two IDIQ contracts with a potential value of $96 million from the U.S. Navy. These contracts demonstrate the DoD's ongoing interest in keeping its fleet of iRobot unmanned ground vehicles equipped, with the latest in robot technology. Moving to our remote presence business, Cisco continues to develop its commitment to our partnership with a recent purchase of four Ava 500 robots and a purchase order for an additional seven. Their plans are to deploy them in multiple locations to connect their executive around the globe. We continue to make progress on building referenceable accounts, as well as development of a next generation platform. I will now turn the call over to Alison to review our third quarter results and expectations in more detail.
Alison Dean: Thanks Colin. We delivered third quarter revenue that met our expectations and earnings per share and adjusted EBITDA that exceeded our expectations. Revenue of $144 million was flat from Q3 last year as expected, due to lower year-over-year defense and security revenue. EPS was $0.42 for the quarter, compared with $0.48 in Q3 last year. Q3 adjusted EBITDA was $26 million or 18% of revenue, compared with $30 million or 21% of revenue last year. Our profitability in the third quarter was better than expected, primarily due to our decision to curtail sales and marketing spending in Japan, as well as gross margin favorability, driven by lower EMEA warranty expense and product mix in home robots. Domestic Home Robot revenue grew 23% for the quarter, as retailers began stocking their shelves for the holidays, and we continue to expect high teen revenue growth in domestic markets for the full year. Q3 international revenue decreased 7% from last year, a little more than we expected, due to the weakness in Japan and Russia. The overseas outlook has deteriorated since our last call, and we now expect total international growth in the low single digits over last year, despite strong growth rates in China and most European countries. Defense and security revenue of $6 million in Q3 was down from $11 million last year, but slightly ahead of our quarterly expectations. We received and fulfilled several orders earlier than anticipated and currently have $36 million of backlog to support the significant ramp to $30 million in Q4. We expect $55 million in revenue for the year, a 20% growth over 2014 and to exit the year well positioned for 2016. For the total company, gross margin of 49% for the third quarter 2015 was up 130 basis points from the same quarter last year, due to higher Home Robot gross margin, driven by favorable warranty and product mix. In the fourth quarter, we expect gross margin to decline slightly due to customer mix and product mix. Q3 operating expenses were 36% of revenue, compared with 32% in Q3 last year. The increase year-on-year primarily reflects costs associated with the launch of the new Roomba 980. The Q3 operating expense was lower than we originally planned though, as we reduced our scheduled incremental Japan marketing spend. We ended the quarter with $212 million in cash and investments, compared with $187 million at the end of Q3 last year. During the quarter, we purchased $20 million of our stock under our current repurchase plan, bringing our year-to-date total through the third quarter to $25 million. The year-to-date total includes shares purchased in Q1 under our previous plan, as well as the shares purchased in Q3. All purchased shares have been retired. We ended Q3 with $59 million in inventory or 73 days, as we built inventory to support the Roomba 980 launch and our overall fourth quarter ramp. This compares to $54 million or 65 days last year and we expect inventories will return to more normal levels by the end of the year. Looking now to the fourth quarter; we are expecting strong growth from both Home and D&S. We anticipate fourth quarter revenue of $200 million to $205 million, down from our previous expectations, but still a record quarter, growing 26% to 29% over Q4 last year. Due to our actions to reduce some non-revenue generating spend, combined with a $3 million pre-tax or $0.06 per share gain on an investment we will record in October from the sale of a company, in which we invested several years ago, we are increasing Q4 EPS to $0.53 to $0.58 and adjusted EBITDA to between $32 million and $34 million. For the full year, we expect revenue to be between $610 million and $615 million, EPS of $1.35 to $1.40, and adjusted EBITDA of $89 million to $91 million, 14% of revenue and a 12% increase year-on-year. I will now turn the call back to Colin.
Colin Angle: Thank you. Home Robot revenue continues to be strong in the United States and China, and many European countries. While we are experiencing weakness in a few isolated international markets, we expect the macro impact to be temporary. We remain very optimistic about the industry and our growth prospects in coming years. As we look to 2016, I am highly confident that our revenue growth will accelerate over our 2015 results. We will be rolling out our new 980 robot globally, extending our successful U.S. sales and marketing strategy to select oversea markets, and investing to better position and grow our Home Robot wet floor care products. With that, we will take your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Bobby Burleson from Canaccord Genuity. Please go ahead.
Bobby Burleson: Yeah good morning. Thanks for taking my question. So I guess, D&S is showing some nice -- you have a nice backlog position going into Q4, and I am wondering, can you talk about revenue accelerating in 2016. Can you give us a little color on what your thoughts are on D&S in terms of maybe you know, growth next year, any additional headwinds like we saw in 2014? What are your thoughts there?
Colin Angle: Sure. My comments around looking forward to 2016, the mission was to provide some color. But we are not, at this time, going to go into details by business unit. I did mention the three main drivers for my confidence in accelerating growth mix year, they were around extending our U.S. sales and marketing strategy relative to home. Rolling out the 980 globally, and then putting more energy and investing to grow our Home Robot wet floor care products. So those are the three growth drivers we are talking about at this time, but I am not going to provide additional color.
Bobby Burleson: Okay. All right. And then -- yeah, that's fine. Thank you. Just sort of more quick one; in terms of the macro environment, there are obviously some headwinds in Japan and Russia, and I am wondering are there any other macro headwinds and your confidence that these are temporary. How temporary are you thinking, are you looking at another couple of quarters, or -- what are your thoughts on the temporary nature of that ones? Thanks.
Colin Angle: Sure. So Russia obviously is a special case and predicting the recovery of that markets, I leave to those more qualified than myself. But we do think that there is recovery in the future for Russia, although that will probably take more than a year. The remaining macro headwinds, you can look at the foreign currency exchange and prognosticators as to when the recovery of the Euro and the Japanese yen will be, or at least, stabilization that is the -- will foreshadow a recovery. Also is giving time for iRobot to continue to roll through strategies for those regions, which will allow us to perform better under the current economic regime. So -- and again, it's really, this year has been a tale of two cities, where a certain regions, the U.S. and China in particular have been doing fantastic. There have been some very healthy countries in western Europe that have been performing very well, and so that the -- the overall landscape is anything but concerning, it is more isolated to a few different regions, Japan and Russia being the worst two. So I think that as we look at, we are a global company, we are in many regions, as we look forward to 2016, you don't need too much extraordinary progress in the global economy to get behind the fact that we think we can accelerate growth next year.
Bobby Burleson: Great. Thank you.
Colin Angle: You bet.
Operator: We have a question from Jim Ricchiuti from Needham and Company.
James Ricchiuti: Thanks. Good morning. Colin, just given the directional guidance that you are giving by region. I mean, it looks like -- you are suggesting that the international home robot business is still going to show pretty healthy growth in Q4, and I guess the pattern, I think in the last three years has been for the international robot business to be down sequentially. So I am wondering, just in light of the macro concerns that you're expressing in Japan, what gives you the confidence that the international business is going to be up sequentially and year-over-year in Q4? I mean, I think you have touched on a little bit of it, but it's still a different pattern than we have seen -- than in previous years?
Colin Angle: Sure. Couple of things, year-over-year, internationally, we were starting to see some of the impact of the macroeconomic slowdown in Q4 of last year. And so year-over-year, it’s a little more economically apples-to-apples. Additionally, we have the launch of the Roomba 980, which is a very healthy shot in the arm, that gives us additional confidence. So those are the two main factors. And again, the way we do business, many of the orders for our international markets, have already been received and shipped, so that we have excellent visibility, particularly internationally in Q4.
James Ricchiuti: Okay. That's helpful. Alison, just a quick question if I may, if the impact of the EMEA warranty extends on overall gross margins in the quarter?
Alison Dean: We had a significant bottom line improvement, the majority of that in Q3 came from the OpEx, the remainder coming from the EMEA warranty expansion, primarily. We have some other factors impacting gross margin, but in order of magnitude, it would be OpEx that contributed to the bottom line improvement, followed by the EMEA warranty.
James Ricchiuti: Okay, okay. Thanks a lot. Congratulations on the quarter by the way.
Colin Angle: Thank you.
Operator: We have a question from Josephine Millward from The Benchmark Company.
Josephine Millward: Thank you. Good morning Colin, Alison.
Colin Angle: Good morning.
Josephine Millward: Can you give us a sense of how much Japan is down year-to-date, given this is your largest market after the US? And it sounds like you think we might see some kind of recovery some time next year?
Alison Dean: Yeah. Japan is down in high double digits year-to-date for us. It has been down every quarter so far. During the year, we do expect Q4 to be up, but net-net for the year, it's definitely down in sort of low double digits for the year.
Josephine Millward: What about timing on recovery?
Alison Dean: As Colin said earlier, that's very difficult for us to predict, certainly with adding the Roomba 980 into the mix, we hope that will be a stimulating factor in the region, but the overall recovery is very hard to predict at this time.
Colin Angle: I think that Josephine, I mentioned that we will be rolling out these marketing strategies, which are working so well for us in North America, internationally. Certainly, Japan is one of the areas where we think we can bring these new marketing programs next year, with the confidence of performance and tweaking that we are getting in the fourth quarter. So there is a couple of different dimensions, that sum up to the expression of confidence that we think we can do -- turn things around next year in Japan.
Josephine Millward: That's helpful. Can you talk about Russia? Can you give us a sense of the size of the market and I think we have all been surprised by how -- and give us a sense of how -- what kind of growth you are seeing in these key Western European markets? Trying to figure out the impact that Russia is having on EMEA, going forward?
Colin Angle: I can give you some amount of color on that, although we don't break down sales generally by nation, let me give you a little color on Russia; because I think that, it wasn't commonly understood that Russia was one of our fastest growing and top five regions in EMEA, and so having that region largely disappear from the revenue contribution list was significantly material for us, and so that -- again, I understand that that's only color, but having a top five nation basically hit a wall and disappear is very material, when you start averaging all the countries together. So the net result is, Western Europe is quite healthy, with a significant drag coming from Russia.
Josephine Millward: Okay. Last question, can you give us an update on remote presence and whether we can expect greater contribution from this segment in 2016?
Colin Angle: The comments in the call were meant to convey continuing acceleration and deepening of the partnership with Cisco, which is the key relationship, if there is to be near term acceleration. So their continued investment in the technology, I think is very important. So I think that the -- this is an emerging market, and as always, difficult to predict what the ramp might look like. But certainly, we have a great partner with them, in charting these waters. So that things are still moving well, and sort of putting ones pocket book on the table and investing in the category as these new purchase orders represent, suggest continued strength in that partnership. And really that's what I was trying to convey.
Josephine Millward: Thank you.
Operator: We have a question from Alex Gauna from JMP Securities.
Alex Gauna: Thanks for taking my question. Good morning everybody.
Colin Angle: Good morning.
Alex Gauna: Colin, you expressed a lot of optimism around what's happening for the 980. Can you give us a little bit of color by what metrics you are saying, it exceeded expectations and maybe how it compares or contracts for some previous retail [ph] pressures that you have had?
Colin Angle: It's still early to get a read at retail. Online sales over the first few weeks exceeded previous launches on a -- certainly on a dollar basis, and we view that as very telling. Certainly this is our highest price point vacuuming robot we have ever launched, and so there was some risk that this would be a bridge too far. And I think that the response we are seeing is encouraging on that front. Certainly, the retail experience, as we see that, will be additional data points. And the performance of the robot has been outstanding, and it is a huge amount of technology that we just put on the marketplace, so that the fact that we are getting very high ratings on Amazon, suggest that the tremendous amount of work we went into ensuring that connecting the app and the ease of use of the app and the navigation technology ability to function in real world environments, is all proving out in a very positive fashion. So there was certainly risk on multiple dimensions as iRobot. We put out a robot with a 100 times more software than any of our prior robots and connectivity and navigation, none of these things are trivial to get right and we couldn't be happier with the customer's response and the market's response. And so, to give you a little color, we are very optimistic as this robot continues to broaden its distribution in the fourth quarter and into next year.
Alex Gauna: Okay, thank you. And I am wondering with regard to Japan. I would applaud your rapid response to that market and adjusting your investments in marketing there quarterly. How long can you afford to stay a little bit more muted there and how you are pushing your products, and what are the metrics by which you might reramp, and then lastly on that, do you think you're ceding any market share, as you temper your investments in that area?
Colin Angle: So we are certainly not, by any means, walking away from the Japanese market. The vacuuming market through the end of Q3 and Japan was down 18% year-over-year, and so that there was an overall impact in Japan on the vacuuming industry, and certainly that impacted us. And in this year, without our optimized marketing programs, and again, we are developing very successfully and testing very successfully in the United States, translated and brought to Japan. We just didn't see the return -- expected return on the investment. We certainly plan on getting -- going back, putting more energy next year against Japan. Made addition to the Roomba, we are also sort of at the bright spot in Japan in 2015, with the adoption of the Braava and the hard floor, wet floor cleaning category, and as I mentioned in the call, we are going to be putting more energy against that, and Japan and China are markets that are already showing a significant appetite for that type of device as well. So we have got, I think, very rich and robust plans to come back in force next year, and turn this thing around; but as we looked at Q3-Q4 2015, we didn't have the confidence, and so that we did react to preserve some cash and put ourselves in a situation where we are able to raise the earnings guidance on this call.
Alex Gauna: Great. Thank you.
Operator: We have a question from Austin Bohlig from Piper Jaffray.
Austin Bohlig: Hi. Thank you for taking my question. I'm behalf of Troy Jensen, and this one is first recalling -- Colin, first congrats on the launch of the 980. It sounds like that's being perceived very well. And in the past, you have talked about this VSLAM technology, using a camera versus sensor, and from a financial perspective, we thought the cameras are less expensive. IS that true, and do you see as the 980 ramps, you could see some gross margin expansion?
Colin Angle: I think that, adding technology to the robot, certainly adds costs and we have a very-very high bar, as far as the quality of the information we wanted out of this new navigation system, and so that we -- the price of the 980 is increased, because of these new features and these new capabilities. I think that, over time, is there an opportunity for the costs on these systems to come down, absolutely. Do we -- and we are also very excited that we are able to bring this technology to marketplace at the attractive price that we accomplished with the 980, staying well below the $1,000 mark, without sacrificing capabilities. And so, the 980 is just -- it’s the biggest thing we have done since the launch of the original Roomba. This is the capability which unlocks all manner of the possibilities as we move forward, as well as making the 980 just a leap forward in performance in robot vacuuming. There is so -- I could go whacks about how excited I am about the 980 for quite a long time. But we chose and spent probably an additional five years, perfecting this technology, rather than going to a laser based navigating technology; for example, which we thought could have been a nice band-aid or a nice lower tech entrée into navigating, but wouldn't get us long term where we wanted to go. So we held out -- now we have got it in our marketplace. The marketplace is reacting well, and this is big news.
Austin Bohlig: All right, great. Thank you. That's very helpful. And just one last follow-up; talking to people in the industry, it sounds like or we have heard that your [indiscernible] this product has been able to even take a little bit of share due to performance, or better performance capabilities. Do you guys see that, because in your prepared remarks, you saw or you said there was some new entrants that entered the market. Who are you alluding to there also?
Colin Angle: So there -- as the vacuuming market continues to grow, there are new entrants, but they have not impacted our share, and so that -- I think that that's the key message that we have been able to successfully raise our performance bar swiftly enough that, we feel like we are increasing our performance lead over the competition, and the market share figures support that confidence and the performance of our products.
Austin Bohlig: All right. Thank you. Good luck heading into the fourth quarter.
Colin Angle: Thank you.
Operator: We have a question from Adam Fleck from Morningstar.
Adam Fleck: Hi. Good morning. Thanks for taking my questions.
Colin Angle: Good morning Adam.
Adam Fleck: Question on China first, it obviously remains a very high growth market for you guys. Well we have seen some macro pressure that's impacted many other consumer firms in the region. I was just curious, if you could talk about how you are bucking that trend for the slowing economy that we are seeing there, and maybe what you are hearing from partners in the geography as well?
Colin Angle: Sure. I mean, there is no doubt that Japan's economy is having some impact, but it's quite similar -- I am sorry, the economy in China is having an impact on our growth rate. But it's similar to a phenomenon that we saw in EMEA a few years ago, when that economy was weak, and yet we were seeing continued strong growth. We are early and up in the adoption of Roomba in the market, that the excitement of what this new product brings to consumer, outweighs the negative impact from the macros. So if China's economy was still white hot, we might see even enhanced performance. But given our position in the market, given the newness of this category in the marketplace, we continue to see very strong performance and are bullish as to our expectations.
Adam Fleck: That's helpful. Thank you. And then sticking in the international markets; obviously, the growth in most of the Western European markets, I think is encouraging. How much of that would you attribute to your prior support this year for your distributor's marketing efforts? Have you seen an acceptable ROI in the investment there?
Colin Angle: I think the short answer is yes. There is uneven performance depending on which country we are talking about, but as a whole, Western Europe has done very well, and I think that the combination of the additional marketing support we put into the region, the swift reaction from our distributors in the region, have allowed us to weather the storm reasonable well. So we are pleased that the dollars we spent were in fact spent and are pleased with the impact that that spending had on the demand.
Adam Fleck: Great. Thank you very much.
Colin Angle: You bet.
Operator: We have a question from Holden Lewis from Oppenheimer.
Holden Lewis: Good morning. Thank you. Two things, first the weakness in Japan, it has not been a strong market as you indicated for most of the year. Does this represent kind of an incremental step-down in that market, that represents perhaps maybe a tough comp and negative numbers next year, or is it just that you didn't get the upside that you expected, and instead of getting the improvement, you basically got the same that you have been seeing all along?
Colin Angle: There was orders that we are expecting to receive in September that we didn't get; and so, we weren't expecting a bit of a bounce back towards the end of the year that didn't happen, and that was a significant part of taking down our revenue guidance, as we previously discussed. I think that we saw a little bit more of a same playing out in Japan, but we didn't get the bump that we were hoping to. That's also tied into or pulling back on the dollars invested, when we didn't have the confidence that the investing of dollars would materialize into those increased sales, that those lack of orders and the lack of investment sort of were tied to one another.
Holden Lewis: Got it. Okay. And then the second question is, as it relates to the Roomba 980, obviously, in APAC, where you have sort of rolled this out to retail I think already, Japan tends to historically spend a lot of money, or be willing to pay higher price points for their machines, whereas China, I think, does more on the lower end. Is this dynamic that you're seeing geographically, whether strong China and a weak Japan, does that have any implications to sort of the regional rollout of the Roomba 980 and what you might expect out of it?
Colin Angle: I mean, I think that your characterization of spending habits in the market are correct. I think the -- although there -- maybe I should qualify, are currently correct. We are seeing that spending habits in China, also include healthy growth in the premium segment, in the robot vacuuming market. I don't know for how many years, your characterization will be correct, but you are directionally on target. Japan has been a very strong market for our higher end devices, and so that lower growth in Japan in 2016 and beyond, would have some impact in 980 pickup. But remember, these are just, two countries out of our global distribution plan, and so that -- it all averages together, and certainly we are seeing very strong performance of premium products in many other markets. But I think that, certainly, what you are saying is accurate.
Alison Dean: Just to add, in terms of choosing which countries to roll the 980 out to, that is why after the U.S., Japan was the next market that we chose to put the 980 into, because of the propensity to purchase at the higher end of our spectrum, as you mentioned.
Holden Lewis: Right. Okay. And then just last thing is, you commented on non-revenue generating spend, kind of pulling back on non-revenue generating spend, but also pulling back on sort of Japan spending, which I would have thought was revenue generating spend. So I was just a bit confused, I guess by those messages. Am I hearing two different things?
Alison Dean: No. The sends for Japan was not expected to have the return from a revenue perspective, that we set for that type of investment, which is why we pulled it back. It wasn't generating the revenue demand we wanted, and then we cut back on other non-revenue generating spend, in conjunction with it.
Holden Lewis: Again, in Japan specifically, got it.
Alison Dean: In Japan. Yeah.
Holden Lewis: All right. Thank you.
Operator: We have a question from Meghna Ladha from Susquehanna.
Meghna Ladha: Hi. Thanks for taking my questions. How should we think about growth in the fourth quarter and into 2016, as it relates to pricing versus the number of units sold?
Alison Dean: You know, with the 980 coming into the mix at the price point that its at, we do expect some lift from that, but we also have significant incremental volume coming out in the fourth quarter versus Q3. So that will definitely be a driver. As Colin mentioned, we are not going to get into detailed expectations setting for 2016, we are going to see how things play out in the fourth quarter, in terms of mix of the different products of pricing versus units, and we will incorporate that into the guidance when we give it.
Meghna Ladha: Okay. And then, are you seeing a pickup in demand from your wet floor products, since you have committed to investing and building awareness of that product category?
Colin Angle: The commitment that I made on the call is a 2016 commitment, and so that there is an anticipation that we will be able to drive deeper penetration, and then have that be one of our 2016 growth drivers. I also mentioned that, in Asia, we are seeing a very good response, even prior to that increase in investment and awareness on our hardfloor robots. So I think that we have got reason for optimism, and we are going to back it up with marketing dollars and thought leadership in that area next year.
Meghna Ladha: Got it. And then with respect to the launch of the 980, should we expect any cannibalization with either the 880 or the older sceneries [ph] and is that all reflected in your current guidance?
Colin Angle: It is reflected in the current guidance, whenever we add a new generation of robots, it certainly has some impact on our prior generations. Probably the model under most pressure currently is the 700 model. The 600 model continues, is relatively a recent and represents a strong contributor to our revenue. The 800 is still going strong at its price point, and so that every launch does reshuffle a deck slightly.
Meghna Ladha: Got it. And just a quick question on tax rate, is there any update on fiscal 2015 tax rate?
Alison Dean: There is not, and there has been no rumor of investment tax credits coming, so we have not assumed that in our guidance.
Meghna Ladha: Got it. Thank you very much.
Operator: We have a question from Ben Rose from Battle Road Research.
Ben Rose: Good morning.
Colin Angle: Good morning.
Ben Rose: Just a couple of questions, I guess on the 980 roll out. You have alluded, Colin, to the ability with this robot to gather some customer usage data, presumably that could be set back into R&D and so forth. Could you talk a little bit about, what kind of usage patterns you're seeing, and any light that it might be shedding on customer use?
Colin Angle: Sure. We actually feed back to our customers, the ability to monitor when the robot came out, and how much area that it covered. Those are things that we also can collect and understand. So just plain usage data and run time data are two of the earliest things. Also if you call our customer service line, with an issue on the robot, the robot will be able to give us some information, as to its own state. And so, those are all very-very helpful in order to improve customer confidence and customer experience. We have an app, we have a platform, and we have an exciting roadmap of new features that will make the robot easier to use and more effective than we will be rolling out in time. So this is just step one of many of the key things we wanted to get right out of the box, was to ensure that customers were having a very easy time connecting the product to the net. The fact that the experience of the app was highly favorable and not intimidating. One of our trademarks is the ease of use of our robots, and we wanted to ensure that, as we went into the connected product space, that we weren't and also ran -- or that the connectivity was not just a gadgety gimmick, but that we could provide easy to use true functionality to our customers, and we feel like we were off to a great start on that. But this is the first few steps in a marathon of features and capabilities that being connected to the cloud and having the app and navigating technology will deliver to our users, and so we are very excited about not tripping off the starting line, and in fact, really delivering tangible, usable benefit to our customers and obviously can't talk about what's coming next, but certainly, there is a lot in the pipeline.
Ben Rose: Okay. It kind of relates to my second question, which is, in terms of growth drivers for 2016, the two of the three seem pretty self explanatory, the roll out of the 980 globally and the focus on the wet floor category. But the first growth driver that you mentioned in terms of home strategy, I was hoping you could elaborate a little bit on that, how much of that is related to the existing product line or perhaps a second step into IOT?
Colin Angle: So we have three growth drivers, 980, wet floor care, which are self explanatory, and then this idea of extending our sales and my strategy overseas. This relates back primarily to Roomba, and we have been -- as Roombas has gone mainstream, we get more and more data about our customers. We learn more about how to talk to our customers, and we found that there is some positioning and there are some customers that we have been -- that our current messaging has done a less effective job at reaching, and in the fourth quarter, in our ads and our ad purchasing strategy has been modified, and is showing a very exciting results. Its one of the reasons why North America growth has been so stellar this year. And so taking that strategy and rolling it out internationally is the reason for that second bullet in my list of three drivers for next year, and we have -- are confident that its going to have some material impact.
Ben Rose: Okay. Thanks. And just finally, with regard to other countries in Europe, really the only you mentioned was Russia, specifically, could you talk a little bit perhaps in terms of color on Spain, which is historically, what I understood to be, one of your largest European markets, and any other markets within western Europe? Thanks.
Colin Angle: Unfortunately, I will disappoint you on that one. We try not to break it out. Russia was such a special case, we just had to. But quarter-by-quarter, there is variations by country, and I'd drive you guys insane, if I asked you to keep track of each region. So we try to talk in our major EMEA, APAC and North America level of granularity. But I have to mention Russia.
Ben Rose: Okay. Thanks. Appreciate it.
Colin Angle: You bet.
Operator: We have a question from Holden Lewis from Oppenheimer.
Holden Lewis: Great. Thank you very much. I am trying to get a sense, on the wet care side, of how impactful that could be? And I guess I am just trying to kind of scale the size of the opportunity for 2016? And if I remember correctly, I think that Home Robots are 90% of the overall mix, and of that, the home or the vacuum is about 90%, that would suggest that the remaining vacuum is maybe 9% of the revenue mix. Does that sound about right, and kind of the right number to think about growing off of?
Alison Dean: Yeah. Roomba has definitely contributed, 90, 90% plus of the Home Robot revenue. The bulk of the remainder is driven by our wet floor care products, which we said have run anywhere from probably 8% to 10% of home revenue.
Holden Lewis: 8% to 10% of home revenue. Okay. So if you can double revenue on that for investing and that sort of thing, then that's a meaningful driver of growth?
Colin Angle: Correct.
Holden Lewis: Okay. Thank you.
Colin Angle: Okay. That concludes our third quarter 2015 earnings call. We very much appreciate your support and look forward to talking with you again in February of 2016, to discuss our Q4 results, and to give our outlook for 2016.